Eric Born: Good morning, and welcome to the Grafton Group Half Year Results Presentation. Let me first go through some operational highlights before I will hand over to David Arnold, our CFO, to go through the financial review. So some operational highlights in H1. First of all, we returned to organic revenue growth with like-for-like growth in the first half of 2.4% in terms of daily revenue. We had a resilient performance as a group with strong contributions from Spain and from Ireland. Also I would like to point out that U.K. distribution returned to profit growth for the first time since 2021, despite a still difficult market backdrop, and our diversification trend continues with now almost 2/3 of the revenue being non-U.K. The focus continue to be on operational improvement, continuous improvement, where the performance was supported by ongoing operational efficiencies and some self-help actions on the cost side. Our lean central team supports the operating companies across the group to implement best practices across the state, and we have continued ongoing investment into our businesses throughout the cycle to be excellently positioned for market recovery. We are also pleased with the progress we have made on group development activities. We further strengthened our market position in Ireland, where we acquired HSS Hire as a bolt-on for Chadwicks Group, complementing our existing hire business in Ireland. The Salvador Escoda integration in Spain is well on track, and we have made positive progress on our organic growth plans for Salvador Escoda. And we are actively pursuing further opportunities for growth across our chosen markets in Europe. I will now hand over to David, who will go through the financial details.
David Arnold: Thank you, Eric, and good morning, everyone. Before we turn to some of the detail of the group's first half financial performance, let me give you a few key takeaways at the outset. Firstly, it's pleasing to report that we saw a return to profit growth in the first half for the first time in a few years. Adjusted operating profit was up almost 10%, and adjusted earnings per share increased by 6.5%. Secondly, we again saw strong free cash conversion, which continue to reinforce the group's robust balance sheet position. At the end of June, we had net cash of GBP 246 million. And finally, it was another period marked by strong capital returns to shareholders with GBP 81 million returned through dividends and share buybacks. Since we first started our share buybacks in May 2022, we've reduced our share count by almost 20%. Reflecting the group's strong cash generation and our positive conviction on Grafton's future prospects, a new buyback program for GBP 25 million is announced today. The highly cash-generative nature of the group enables us to return capital to shareholders while continuing to actively pursue a robust and growing pipeline of acquisition opportunities. In terms of outlook, we anticipate that trading conditions in the second half will broadly mirror those of the first half, with continued growth in Ireland and Spain. We reconfirm the 2025 adjusted operating profit is expected to be broadly in line with analyst expectations, recognizing that the important autumn trading months still lie ahead. Importantly, we remain positive about the medium-term outlook across our geographies and believe we are well positioned to capitalize as the weaker markets improve. Turning to the first half income statement. Revenue of GBP 1.25 billion was 10.1% higher than the same period last year. Thanks to the dedicated efforts of our teams and a continued focus on margin management, particularly through disciplined pricing controls, a focus on delivering value for money for customers and enhanced supplier support, the group achieved a 60 basis point improvement in gross margin during the first half. This offset the impact of inflationary pressures on our operating costs, leaving our first half margin of 7.3%, unchanged on the first half of last year. We continue to proactively manage our cost base in the period with benefits continuing to flow through from actions that were initiated in the prior year to support our results. As I've mentioned already, the group's adjusted operating profit pre-property profit of GBP 91 million was 9.5% ahead of 2024. The increased net finance cost of GBP 4.2 million primarily reflected lower interest income on deposits following interest rate cuts as well as lower cash balances due to the acquisition of Salvador Escoda and completion of the recent share buyback programs. The effective tax rate before the exceptional profit on the disposal of our MFP piping business in Ireland was 19.5%, which was 50 basis points lower than the prior year rate of 20%. The reduction in the effective tax rate primarily reflects the geographic mix of group profits with a greater proportion generated in Ireland with its lower rate of corporation tax. Adjusted earnings per share were 35.5p, 6.5% higher than 2024. The beneficial impact of our share buyback program resulted in a supportive effect on EPS relative to the increase of 3.5% in adjusted profit after tax. Now in the appendices, I've also included some technical guidance for the full year. Looking at the first half revenue increase, the organic movement, which I will cover in more detail on the next slide, saw revenue increase by GBP 18 million. Total acquisitions contributed GBP 106 million of incremental revenue largely due to the acquisition of Salvador Escoda in Spain. This slide analyzes that GBP 18 million increase in organic revenue, and it should be noted that revenue in the first half was supported by modest levels of product price inflation, and that contrast to the prior year when product price deflation, particularly in our distribution businesses in the U.K. and Ireland, adversely impacted sales. Our Irish distribution and retailing businesses maintained their strong performance in the first half, while our Netherlands distribution business returned to modest levels of growth. In the U.K., a slow improvement in the construction sector of the economy continues to emerge, contributing to revenue growth in our manufacturing business and significantly slowing the rate of decline in our U.K. distribution businesses. In Finland, where the recovery of the economy and the construction sector have been slower than anticipated, we saw a decline in revenue of GBP 4 million in the period. Net new branches across the group contributed incremental revenue of GBP 1 million in the first half. Turning to the increase in reported adjusted operating profit. We'll look at the GBP 2.2 million increase in profitability of the like-for-like business in a moment. And you can see the net impact of new and closed branches which had a negative net impact of GBP 0.5 million, and that's largely due to the divestment of the MFP piping business in Ireland. While, as you can see, acquisitions added GBP 6.7 million, mostly driven by Salvador Escoda in Spain with the remainder coming from 1 month's trading from the bolt-on acquisition of HSS Hire Ireland. Looking at the increase in adjusted operating profit in our like-for-like business, you can see all businesses, except Finland and the Netherlands, reported an increase in adjusted operating profit. Our businesses in Ireland delivered strong profit growth, underpinned by expansion of operating margins, while our distribution business in the U.K. returned to profit growth for the first time since 2021. Performance in Finland, which I'll cover in more detail in a few minutes, remains below expectations. And moving on to look at each business in a little bit more detail. Our Irish distribution business performed well in the first half, despite a broadly flat construction market. While activity in the commercial construction sector has increased after several years of decline, the necessary ramp-up in housing supply has yet to materialize, despite strong government support. Nevertheless, with its excellent market-leading position, revenue of GBP 323.8 million increased by 3.5% on a constant currency basis. Growth in average daily like-for-like sales of 3.7% in 2025 was supported by product price inflation of 3.5%, which accelerated in the second quarter. Gross margin improved in the first half due to active commercial management, increasing supplier support, which more than offset the impact of higher overheads. Adjusted operating profit of GBP 31.5 million increased by 7.3% on a constant currency basis, supported by higher sales and gross margin expansion. The integration of HSS Hire Ireland, which broadens Chadwicks' offering into larger hire equipment and complements its existing Sam Hire brand is progressing well, with early trading in line with expectations. We were pleased that our U.K. distribution business returned to profit growth with a 30 basis point increase in operating margin. Revenue in the U.K. distribution business of GBP 394.4 million was in line with prior year as RMI demand continued to be weak, especially in London and the Southeast. This important geography accounted for approaching 2/3 of our distribution revenue in Great Britain. Average daily like-for-like revenue was 0.2% higher in the first half, supported by product price inflation of 1.9%. After good momentum from March through to early May, market conditions softened noticeably through to the end of June. Gross margin improved in the first half, reflecting our active commercial strategy despite the weak volume environment. Notwithstanding inflationary pressure on costs, especially with respect to labor and property, overheads were tightly controlled across our business, with the increase in like-for-like overheads contained to 1.6%. Adjusted operating profit of GBP 13.9 million increased by 10.3%, supported by gross margin expansion. In the Netherlands, the anticipated recovery has been slower to materialize. After a strong start to the year, momentum eased largely due to the completion of major construction projects and delays in new project commencements. Revenue of GBP 175.2 million increased by 1.4% on a constant currency basis. Growth in average daily like-for-like sales of 2.8% was driven primarily by higher sales from national key accounts, in addition to modest product price inflation of approximately 1%. Gross margin improved in the first half, primarily due to active commercial management despite the adverse mix effect of large construction projects and key accounts, representing a higher proportion of revenue. Overheads remained under pressure in the first half, primarily driven by wage inflation linked to industry-wide collective labor agreements negotiated amid a continuing very tight labor market. Adjusted operating profit of GBP 13.9 million declined by 6.7% on a constant currency basis with a 70 basis point reduction in operating margin. Good progress was made on a multiyear business improvement project covering the operating model and supporting systems, which once fully implemented across the Dutch business will realize benefits to customers, increase efficiencies and reduce the cost to serve. Salvador Escoda is one of Spain's leading distributors of HVAC, water and renewable products. We're very pleased with how the integration of the business is progressing, and its first half trading performance was in line with our pre-acquisition expectations. During the first half of 2025, Salvador Escoda reported revenue of GBP 104.2 million and delivered an adjusted operating profit of GBP 6.5 million, representing an adjusted operating margin of 6.3%. On a pro forma basis, in comparison to prior year, average daily like-for-like revenue in the first half was 6.9% higher, supported by the timing of strong project-related sales and favorable market conditions. Salvador Escoda is a market leader in the Spanish construction sector. Spain continues to be one of the fastest-growing economies in Europe, and the construction sector is forecast to expand by 3% to 4% in 2025. The group continues to support the local management team in driving organic growth. A new branch opened in Vic in Catalonia, enhancing our existing strong market position in that region, and we continue to actively evaluate further development opportunities in the attractive Iberian market. Turning to Finland, and the business performed below our expectations. Market conditions remain difficult, but we also encountered some temporary operational challenges, which affected the internal supply chain and which are being decisively and actively addressed by a strengthened management team. Revenue of GBP 60.4 million decreased by 5.8% on a constant currency basis in the first half, with average daily like-for-like revenue down by 4.2%. While it was anticipated at the end of 2024 that the market conditions had reached a trough, the recovery in the Finnish construction sector has been much slower than expected. For example, new building starts are at a 30-year low now in Finland. The business experienced significant gross margin pressure in the first half due to intense competition and the sell-through of slow-moving aged inventory at discounted prices. Adjusted operating profit was GBP 1.8 million with an operating margin of 3%, representing a significant year-on-year decline in performance. Our Woodie's business in Ireland delivered a strong trading performance in the first half as consumer spending remained resilient despite global macroeconomic uncertainties. Revenue of GBP 138.1 million was 7% ahead on a constant currency basis, supported by a 5% increase in the number of transactions, while the average transaction value was 1.5% ahead. Average daily like-for-like sales increased by 7.6% in comparison to the same period last year, supported by favorable weather conditions, which generated a strong performance in plants and garden-related products, with some seasonal demand pulled forward into the spring trading months. Higher transaction volumes supported improved overhead efficiency, achieved despite ongoing cost pressures due to a further increase in the national minimum wage and general inflationary pressures. Woodie's has continued to drive productivity improvements to offset the impact of mandated minimum wage increases. Adjusted operating profit of GBP 19.2 million was 12.2% ahead on a constant currency basis, with the operating margin improved by 70 basis points to 13.9%. The first half saw robust growth of 34.6% in Woodie's online sales channel, with online transactions representing approximately 5% of total sales. Further enhancements to the in-customer store proposition were achieved through the refurbishment of our Navan store and the continued rollout of the home shop-in-shop concept, and that's now been extended to an additional 7 locations. This initiative is now implemented in 18 of our 35 stores across Ireland. Our manufacturing business returned to growth in the first half and reported revenue of GBP 56.3 million and adjusted operating profit of GBP 12.2 million. The operating margin of 21.6% delivered 150 basis point improvement in comparison to last year. CPI EuroMix had a healthy start to the year as housebuilders ramped up output, but momentum eased into the second quarter. Bulk product volumes, which represent approximately 90% of revenue, increased by 5.7% compared to 2024, driven by higher volumes on existing housing sites. Overall, the business delivered strong profitability growth in the period underpinned by higher volumes and improved fixed cost absorption. StairBox continued to be affected by the weak RMI market in the U.K. Volumes of stairs sold were broadly flat in comparison to the first half of 2024, but we did see volume growth in the wooden windows market. Overall, profits increased largely due to gross margin improvement supported by tight cost control and relatively stable raw material prices. Now this slide analyzes our cash flow. And as you can see, the group generated strong free cash flow of GBP 78 million in the period, representing an 86% conversion of adjusted operating profit into cash. And some key highlights to note here. You can see the reduction in net working capital of GBP 4.9 million in the first half, despite actually a growth in sales, and optimizing our investment in net working capital continues to be a key focus across the group. We continue to reinvest in our businesses with just over GBP 20 million invested in replacement and development capital in the first half. And finally, there was a GBP 14 million investment in net M&A activity, being the acquisition of HSS Hire Ireland, partially offset by proceeds from the divestment of our MFP piping business in Ireland. The cash-generative nature of our businesses continues to support both shareholder returns and a strong balance sheet, providing significant firepower for the group to capitalize on organic and inorganic development opportunities. At the end of June, our net debt was GBP 147 million, representing a lease adjusted net debt to EBITDA ratio of just under 0.5x, broadly unchanged from the end of December. And turning finally to the balance sheet. I'd just draw your attention to the increase of a net working capital of GBP 12.1 million in comparison to the year-end, and this is largely due to the recognition of the deferred consideration related to the divestment of MFP. Adjusted return on capital employed was 10.9% in the first half, above our weighted average cost of capital, which we estimate at 9%, and higher than the full year prior year comparison. We believe this represents a resilient performance in the context of where we sit in the construction cycle. And on that note, I'll hand you back to Eric to talk us through the outlook and strategy.
Eric Born: So let me say a few words about current trading for the period July 1 to August 24. Overall, like-for-like revenue growth in that period was 2.3%, so very similar to the first half with a continued strong performance of our Irish businesses. In U.K. distribution, we had a reversal of the trend, which we saw into June and trading in the first few weeks of July-August was improved relative to the back end of Q2. Trading in the Netherlands was impacted by the timing of the regional holidays and somewhat weaker project sales. In Finland, as David alluded to earlier, the market continues to be difficult. And if you look at the overall market in Finland on technical trade, it's about minus 6%, right? That's the market estimate on technical trade, what -- how the market has declined year-over-year. But as David said, we also have some challenges there. Manufacturing performed well compared to a weak trading period in prior year. And pleasingly, Salvador Escoda on a pro forma basis, 9.4% increase over prior year, driven by strong air conditioning sales. However, as always, the really important period is the autumn period, and those numbers are right during the summer holiday. So I wouldn't put too much rate into that overall. So if I look at the outlook overall for the different countries, we continue to have a positive outlook in Ireland, notwithstanding the impact on U.S. tariffs. But the construction activity in H2 is expected to be similar as in H1, and there is strong government support to increase investment in housing and infrastructure. So we remain to be positive on our Irish economic outlook. In the U.K., we are confident in the medium-term outlook. We believe the fundamentals are continue to be positive, but we don't expect any meaningful volume recovery during this financial year. Higher household savings and the pent-up demand in RMI is expected to support the recovery once it comes. But of course, the current speculation around property taxes and other things related to the autumn budget are anything else than helpful. In terms of Netherlands, the construction recovery is somewhat slower than anticipated, and the timing of the upturn is uncertain. However, the medium-term outlook remains positive. And if you look at, for example, the GBMs in the Netherlands, they start to see some increase in volume starting now. But of course, our business with ironmongery and fixings is more later in the cycle, so we would expect to see some recovery over time. Finland, as David said, the construction sector is at a 30-year low. There is muted economic growth, but we do expect a recovery -- a slow recovery going into 2026. I would point out in brackets that actually our business is one of the few players, which is still profitable in Finland, given the overall outlook, even though we are not necessarily pleased with the current performance of the business. And for Spain, the economic growth continues to trend positive. It's one of the fastest growing markets in Europe, positive construction outlook, and the HVAC sector is very well positioned for robust growth. So we expect the economy in Spain to continue to do well. Let me quickly talk through in terms of our ambition of what are the plans if you go through market by market and overall. So in Ireland, we plan to continually enhance our existing strong market position, as we demonstrated with the bolt-on acquisition of HSS, but it's not just M&A, it's also further organic expansion, which is on the plan. In terms of U.K., we strongly believe in the long-term prospect of the U.K. And the focus is on capturing the market recovery, where we think we are well positioned. But we will also deploy further capital organically and also unorganically if good opportunities arise. And we can buy for, what I would call, a fair price to buy an asset and further develop it. In the Netherlands, we continue to focus primarily on organic expansion, especially in the Eastern area of the Netherlands, where we still have a lot of wide gaps and build out the network of Isero. But of course, we also have a pipeline of potential acquisition opportunities into adjacent segments and to strengthen Isero. Finland, the focus is to capitalize on the market recovery. We have a strong management team, a strengthened management team in place, and we want to sweat the asset, which we have as the markets recover. Iberia, slightly different. We entered the market with the platform acquisition, and we endeavor to continue to scale our business significantly over the next few years. And we see very strong growth opportunities organically and inorganically. And of course, as we build out and strengthen our existing markets and build out our position in Spain, at some stage, we would enter a new attractive European market. And for that, we actively evaluate the different entry opportunities. But that's further down the line. The immediate focus is on existing markets, including Iberia. So overall, Grafton is very well positioned to deliver value for our shareholders going forward. We have attractive market positions with a very strong portfolio of different distribution market -- different distribution models across our existing markets. They are supportive market fundamentals like the aging housing stock, the shortage of housing, et cetera. But as I said earlier, our immediate focus is to strengthen the existing positions and to accelerate our expansion in Iberia. But we believe Grafton is a very, very strong platform with a good geographic diversification across European markets. 64% of the revenue is outside of the U.K. We are highly cash generative, which is a distinction compared to other assets in our segment, even if you look at the ones which are privately held. So we are very cash-generative, despite subdued market in the U.K., in Finland and in the Netherlands. Our assets are well invested and excellently positioned for the market recovery, and we have the real ambition to become a leading player in the European building material distribution market, which is a highly fragmented market. And we endeavor to capitalize on the growth, which is there for us to grab over time. I will now hand over for Q&A. Over to you.
David Arnold: And sort of normal rules of engagement will apply. We'll take the questions in the room first. Once those are finished, there may be some questions that we get over the airwaves. We'll pass the mic around to those who have got questions. [Operator Instructions] Well, we'll go to Shane at the front first, that would be great, please.
Shane Carberry: Shane Carberry from Goodbody. If I could start with the U.K. distribution business first. And I suppose if you could just give us a little bit more color on some of the levers that have been pulled in terms of the margin performance was obviously quite good in the first half. So it would be helpful to just get a little bit more color around the levers pulled there.
David Arnold: Let me pick that. I mean, I think the U.K. was interesting when we look at the actual underlying market dynamics. In March, April and May, we actually got a glimpse of what we thought recovery looked like, and we were quite hopeful at that point. And then we did see the market weaken. We deliberately took a strategy in the U.K. of focusing on the bottom line and focusing on gross margin. So there was a lot of work that was done working with our suppliers, in particular, but also taking conscious decisions around pricing to not go aggressively for price because, quite frankly, it didn't feel as though the volume was there in the market to support the uplift that we would be looking for from a profitability perspective. So we were quite deliberate in our strategy there. The other element is obviously around productivity, and we're doing an awful lot of work. And that's not just in the U.K., that's across the business, how can we apply technology, how can we make ourselves more efficient at the back end and free more time up for colleagues at the front end to be able to support customers in store or in branch. And that's really an enduring theme around and will continue to be over the next few years. And the investments that we're making across the business are very much about technology and productivity and efficiency.
Shane Carberry: Perfect. And then the second one is just on the point that you made towards the end there, Eric, just regarding kind of potential expansion longer term into other markets in Europe. Could you kind of talk a little bit about, I guess, the advantages of the Grafton Group platform versus other kind of European building material peers that you'll be able to take advantage of in those markets when they come along?
Eric Born: Well, first of all, there are not many international listed peers in our sector. Let's say, like, most people are either are not international or they are privately held. I think where we see the benefit is, of course, I think in-country scale is important, right, because a lot of the benefits on -- especially on heavy-side materials are in-country where you have the scale benefit. On the light side, you have better opportunities to take scale benefits in terms of procurement across multiple countries, right? But over and above that, we invest a lot in technology, which we can then lift and shift into different countries. You attract as you are a larger player a far -- a good talent pool which you can develop. And we just firmly believe that the scale opportunities internationally and in countries are needed to really drive the benefits for our customer and also generate enough money to actually invest and continue to invest into a changing operating model with more and more digital elements to it.
William Jones: Will Jones from Rothschild & Co. Redburn. First, maybe just if we talk about Ireland. Clearly, good overall performance, top line and margin. But within that, I think volume is back to flattish, having grown quite nicely last year. And I think you mentioned the housing supply increase not coming through. But I guess, just general expectations on when you think the return to volume growth in Ireland and maybe just touch on the gross margin improvement there as well.
David Arnold: Yes. Look, I'm -- we're very optimistic about volume growth in terms of the construction market in Ireland. The first half was pretty flat, I think, from a sort of new homes perspective. A little bit disappointing against the ambitions, which I think the government and, sort of more broadly, the market was expecting. Volume growth last year was pretty flat. I think it was coming in at 30,000-ish units that were completed. I think expectations for the current year though have improved as we've gone through the year. I think we're now looking at an increase in overall new homes being completed, up high single digit, is possibly 10%. So the outlook is positive for this year and indeed going into next year. And I think we're seeing some of the housebuilders quite optimistic in terms of -- in Ireland in terms of their output going forwards. More broadly, in other sectors like infrastructure, government is committed to increase infrastructure. So against what was a relatively flat volume backdrop last year, we would look and expect that to be improving in the second half and going into 2026. In terms of gross margin, as with the U.K., really, a lot of work around gross margin, a lot of work working with suppliers in terms of making sure that from a purchasing perspective, we're getting best value, and a lot of work at branch level working with our colleagues in Chadwicks branches just in terms of how best to manage gross margin in branch, and that's -- that paid off in the first half.
William Jones: And then maybe second just if we go back to Finland. It seems we've got a combination of macro industry and maybe some company stuff as well. But perhaps, you could just unpick those and particularly elaborate on what you think is company-specific in the first half performance. I think there was a mention about supply chain issues as well. I'm not sure if that was the industry or yourselves and what you're doing to address that.
Eric Born: Look, the largest topic by far is macro, where we have some -- when we refer to internal supply issues, there have been some Far East suppliers which have been changed by the local management in recent time. And one of those core suppliers didn't deliver on what they should have delivered. And so you end up having a problem in a relatively long supply chain on availability of certain products. And that's what the team is working through and that's what we were referring to. So it was mainly a change from some Chinese suppliers to Taiwanese suppliers who then weren't able to deliver on the commitment they have made in time.
David Arnold: Aynsley?
Aynsley Lammin: Aynsley Lammin from Investec. I think I've just got questions around the U.K., actually. Maybe a bit more color on new housing versus RM&I and commercial what you're seeing there. I know you're predominantly RM&I, but maybe feeding in from the EuroMix business as well for new housing. And then just related to the second question. As you look into H2, you've obviously got full 6 months of the employer's next cost coming through. Market still remains difficult. I mean, are you confident you can still maintain that good margin increase in H2 versus H1?
David Arnold: Starting off with the margin point, I mean, I think that's very contingent upon actually what we see in terms of underlying volume growth. When you strip out inflation, still, volumes remain under a little bit of pressure in the U.K., and we'd expect that to continue in the second half. And as you rightly say, Aynsley, cost pressures aren't really ameliorating in particular. So we could be in a position where, once again, it's quite a grind in the second half in the U.K., I think particularly leading up to the budget. And as Eric alluded to, I think some of the rhetoric at the moment around homes, in particular, is unhelpful from a sector point of view. We are predominantly focused on RMI. Selco is really a business entirely focused on customers who operate in the RMI world. The same would be true of Leyland SDM. In T.G. Lynes, there is a focus some on RMI, some on commercial and new residential. So our exposure on new build is, as you rightly say, really through CPI EuroMix. RMI, we see continuing to be pretty flat. I don't see a huge improvement there. Clearly, the government has intentions to continue to try to expand housing output. I think that, that will come through, but that takes time. We saw a good start to the year. Maybe some of that was influenced by timing of things like stamp duty, but we saw a good start to the year in terms of volume pickup. But then that momentum did seem to ease, as I talked about. I think we'll see some growth in the second half, but perhaps at a lower level than we saw in Q1.
Alastair Stewart: Alastair Stewart from Progressive Equity Research. Again, a couple of questions on -- this time on RMI. Interested to see your comments on London and the Southeast. Specifically, could you have a bit of a -- provide a bit of color regionally and by subsector of RMI? So that's the first question.
David Arnold: We sort of struggle in terms of subsector because, for us, our focus is really around private residential RMI rather than bringing in public. Again when...
Alastair Stewart: Sorry. I meant is roof extensions. Or...
David Arnold: I see. To be honest -- yes. Yes. I think what we're seeing proportionately is it's about the R&M and not about improvement. So extension work has really dropped quite significantly over the last couple of years. Regionally, look, I think London and the Southeast has been particularly influenced by what's happened in terms of mortgage rates. So I think that's why we're seeing a more subdued market around London and Southeast. And I think that probably also plays out into the broader housing market. When we look regionally, Midlands and Northwest are doing slightly better from an RMI perspective than we see in London and the Southeast.
Alastair Stewart: And the second question, very briefly, you mentioned the tax speculation. Is that a sort of broad feeling you're getting? Or are you actually seeing -- literally over the last couple of weeks, have you seen any drop-off in activity...
David Arnold: I don't think we've seen a drop-off on the back of it. But equally, what we haven't seen is -- it does feel like groundhog day. And when we're talking about improvement in U.K. volumes, I just think we've -- we're putting off the point at which we will see a good volume recovery a bit further into the distance because confidence is everything in our world. Confidence is everything in terms of homeowners that has a spillover effect into broader consumer confidence. And all the speculation around potential taxes on property will naturally not act as encouragement over the next few months to people to go and build their extension. We'll go that way first, and then we'll come that way.
Christen Hjorth: Christen Hjorth from Deutsche Bank. The first one, just on Selco and any color on the performance outside of London and the Southeast. And I know previously, you've talked about looking at the formats in the region. So any comment on that would be great.
Eric Born: Well, let's start first with the thing in terms of format, right? What we are evaluating -- or the team is evaluating in Selco is there a potentially better model to capture business in areas where your throughput will inevitably lower outside of the London area on a per site basis than within the London area, right? So if you look at the revenue per site, there is quite a bit of a difference versus the model is pretty much the same, which means the fixed cost, whether that's in terms of staff needed to operate it, whether it's in terms of rent rates, there might be a small differential. But it's very similar, but the throughput. And therefore, the revenues are different. So therefore, you will have a lower return, right? So the question is, is there something we can do differently? So if we come to a conclusion that there is something, we will try it. And then I'm sure we will talk to you about it, but at the moment, we are still in the process of looking through that. I think in terms of overall pattern, the -- we see that the area of the London area has been pretty -- has been slightly stronger influenced than the other areas. And if the bulk or a big part of your profitability comes from that area, then that's not desirable. Let's call it like that.
Christen Hjorth: Perfect. But I mean, just the second one on Woodie's. Another fantastic performance on margins. I think it was the full year results where you pointed to some competition potentially coming in. Just any update on that? It looks like it's been dealt with quite well. But any comment?
Eric Born: This is -- look, the competition is coming in. Ireland is clearly attractive. More players are coming in. And inevitably, our view is that competition -- increased competition, a, makes you have to be better in terms of value proposition to stay ahead of the game, but there is always a risk that your operating margin will come a bit down over time. I think what the team has done excellently is continue to work on each category and on the value proposition in each category. We have a fantastic retail team in Woodie's, and that's why we are able to maintain. It's about the value proposition to the end customer, combined with continuously working on the cost to serve and how do we use digital, how do we use process improvements to take the cost to serve down. And the combination of the 2 support the operating margin. I think the caution David and I always have, it will not be a street where there will be a lifelong ever-going increasing on operating margin in Woodie's. It will be inevitable that at some stage, that curve will probably slightly turn. But we are very confident with the position we have and with the progress we make overall as a team there.
David Arnold: We'll go to Harry.
Harry Goad: Yes. It's Harry Goad of Berenberg. A few questions on M&A, please. So firstly, can you just remind us where you would be willing to take leverage to if the right opportunities presented themselves? And then, I guess, the supplementary still on M&A is just talking a little bit about the landscape in terms of what you're seeing in terms of opportunities, what acquisition multiples being asked for like the competitive landscape for these assets.
Eric Born: Look, I think on the leverage, we consistently said we want to maintain investment grade. So therefore, the leverage will be, let's say, not too high, if that makes sense. So -- but if you look at the landscape, of course, in terms of multiples or multiple expectation, it's always difficult to talk about multiples when markets are down, right, because nobody -- everybody wants to sell an asset on, let's say, throughout-the-cycle earnings rather than I'm on the bottom and now I sell it at the multiple which is the average multiple, right? So that's not how the transaction happens. And of course, it's difficult -- it's different in every market. So you look at Scandinavian, multiples are higher than in other markets. I mean, you guys are well aware of that. I think if you look at it around what are the opportunities at the moment, what is the competition at the moment, I think the competition is as usual, right? There are a lot of PE players who either try to do buy builds in certain markets or have platforms and try to build a platform out further. I think at the moment, it's -- to transact, it's -- in the U.K., you would have the phenomena. As I said earlier, earnings are down with each player, and people will not sell existing earnings on a normal multiple. So that's not really attractive for us to buy at this moment in time. In other markets, like in Spain, we believe we have an extremely healthy pipeline at reasonable multiples, which are accretive to us, and we are confident we can execute in that particular market. I think you have to look at it market by market. And as I said many times, it's a relationship game because most acquisitions, we are focusing on our businesses, which are privately held. So it's about building the relationship, working it through and, in the end, pay a fair value, but not too much.
David Arnold: Flor?
Florence O'Donoghue: Flor O'Donoghue of Davy. Just asking, wondering about staff and rental inflation maybe looking into next year. It's obviously been -- there have been 2 headwinds over the last couple of years. Just wondering what your thoughts are, how they're looking into next year.
David Arnold: I think we're probably in the 3% to 4% range overall is our starting point as a sort of a natural level against which we will be working really hard from a productivity perspective to try to mitigate that. I still think there's quite significant pressure on rents and rent resets around London and the Southeast. And we still face the headwinds of national minimum wage increases. And in that note, we're sort of beholden to what governments may decide in terms of policy. So factoring at the moment 3% to 4%.
Florence O'Donoghue: Great. Second one, just on the portfolio. Obviously, we saw a disposal in the first half. Any further thoughts on any other businesses that may exit Grafton Group in the medium term or so?
Eric Born: Certainly, not at this moment in time. So we are currently committed to the assets we have. And we will, obviously, as you would expect, review the portfolio on an ongoing basis. But we think we have strong assets in all the markets we are in.
David Arnold: Clyde?
Clyde Lewis: Clyde Lewis at Peel Hunt. Just wanted to sort of maybe explore that manufacturing orders number that -- or the revenue that you've seen in July and August. Obviously, a pretty big increase. You've flagged obviously the easy comps. But is that a lot more CPI rather than StairBox? And I suppose sort of as you look at the sort of June, July, August, have you seen an overall improving trend, even though the comps last year were a bit difficult? So trying to sort of explore what's driving that as well as those easy comps?
David Arnold: Yes. So actually, I mean, to put it into context, July and August last year, manufacturing was down double-digit like-for-like in that period. And we do need to be very cautious because this is a period when many people will be off on holiday that are on sites. So be careful about reading too much into it. Actually, from a volume perspective, the bulk deliveries that are going into housebuilding sites actually, I would say, is pretty -- was pretty flat in the period. Actually, what we did see was our bagged product. So that's a product that's going more into the RMI world. There was an element of growth that we saw around that. StairBox volumes have been pretty flat. So I would say it is much more about coming up against what was a very low number last year that we're seeing an improvement to be a more normalized level, not about in either business or a particularly pronounced improvement in volumes.
Clyde Lewis: Okay. And following on from that. From memory, CPI is probably one of the businesses that does have a bit of an order book. How does that look again compared to where...
David Arnold: Yes. Well, what -- I mean, what CPI is seeing is basically the number of silos on sites is pretty flat actually and has been all year. What we're actually seeing is more throughput through existing sites. And that may be indicative of what we see more broadly in house builders in terms of outlet numbers. So there's a slightly -- sales rate is slightly better than they were going back 12 months ago. So there's more production going on existing sites, but not a huge uptick in terms of new sites coming on stream. Once we start to see those silo numbers lift, then we'll feel more confident that actually that is about more development. We will see more volume. That's the thing that we're not seeing at the moment.
Clyde Lewis: Okay. The second one was around, I suppose, industry capacity, particularly in the weaker markets. I'm thinking probably Finland, a bit in the U.K. as well, maybe a bit of the Netherlands, as to whether you're seeing capacity being taken out by any of your competitors, given the soft volumes that are still persisting.
Eric Born: Not really, no is the simple answer.
David Arnold: Thank you. Sorry. Charlie?
Charlie Campbell: Charlie Campbell at Stifel. Just one quick question, actually. Just looking at appendix 3. I'm just slightly struggling to...
David Arnold: This sounds like the Barrister's question. I refer the jury.
Charlie Campbell: Just looking at the Q2 like-for-like. So I'm just surprised by how good they are, given the comments you've made about the lull in May and June. Is the interpretation, therefore, that actually April was really pretty good across those areas?
David Arnold: Yes. And that was my sort of opening comment really to Shane, which was we got a glimpse in March, April and May of a recovery. And May's like-for-likes actually were pretty good. But it was the first 2 weeks of May that were pretty good, and then it softened noticeably and into June. And the real contrast was -- and I suppose when we made our comment in the July trading update, I mean, what we had seen at that point was that all our markets had seen significant weakness. We saw in Ireland markets that had been growing 4%, 5%, 6% in March, April and indeed recorded it in May go to flat suddenly in June. So those numbers absolutely don't do justice to that sudden weakness that we saw across all our markets. And that was the thing that was more unnerving, quite frankly, because it was across all markets. And that's why we felt we had to flag it at that point. Now as we've seen since, as we've seen the group overall has improved in July and August, which is reassuring. Okay. We'll just see if we've got any questions outside the room. We've got no questions outside the room. Well, look, thank you, everyone, for attending, and we'll see you soon. Thank you very much.
Eric Born: Thank you very much.